Operator: Good morning, ladies and gentlemen, and welcome to Hydro One Limited's Fourth Quarter 2020 Analyst Teleconference. At this time, all participants lines are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to introduce your host for today's conference. Mr. Omar Javed, Vice President Investor Relations at Hydro One. Please, go ahead.
Omar Javed: Good morning, everyone, and thank you for joining us in Hydro One's Fourth Quarter Earnings Call. Joining us today are our President and CEO, Mark Poweska; and our Chief Financial Officer, Chris Lopez. In the call today, we will go over our fourth quarter results and then spend the majority of the time answering as many of your questions as time permits. There are also several slides that illustrate some of the points we'll discuss in a moment. This should be up on the webcast now or if you've dialed into the call, you can also find them on Hydro One's website in the Investor Relations section under Events and Presentations. Today's discussions would likely touch on estimates and other forward-looking information. You should review the cautionary language in today's earnings release and our MD&A, which we filed this morning regarding the various factors, assumptions and risks that could cause our actual results to differ as they all apply to this call. With that I turn the call over to our President and CEO, Mark Poweska.
Mark Poweska: Thank you, Omar. Good morning, everyone, and thank you for joining us. This morning. I'd like to talk to you about our fourth quarter and annual achievements and we'll then turn to Chris to review the financial results. When I think back to January of last year, we were entering the new year full of optimism. Having released our strategy with wind at our back, we were ready to charge forward in executing our vision and mission. Shortly after our successful inaugural Investor Day in March, the world was transformed. While the pandemic brought for new challenges, it also presented opportunities for us to demonstrate our support for our customers and partners in Ontario. We believed on our vision, mission and strategy to help guide us on our way forward and set our two priorities to help us make decisions during this time. Firstly, to ensure the safety of our employees, and the public; and secondly, to continue energizing life for Ontarians and Hydro One has performed exceptionally well. By problem solving, innovating and never losing sight of our vision of a better and brighter future for all, we were able to advance our strategy, complete our work programs and have limited transmission of COVID amongst our employees. A dedicated and safe employee base allowed us to deliver on the strategy that was put forward at our Investor Day. We've continued to build the grid for the future by investing in our assets. We deployed $1.878 billion of capital and in service $1.639 billion of assets, which is within 2% of our stated goals. This level of discipline and accuracy is commendable in most years, but exemplary when we consider the challenges posed by this past year. We continue to invest in technology to modernize the grid, to harden, and to protect our asset. This led to transmission reliability being the second highest that it has been in 12 years. We made sure our essential services including hospitals, pharmacies, and grocery stores kept their lights on. Safety and efficiency have always been a key priority for us. We lost our safety improvement team, which, after a thorough review, came back with concrete recommendations to improve the safety culture of our organization to eliminate serious injuries in Hydro One. We will put these recommendations to work in the coming years. One of the things my career in the utility sector has taught me is that a safe utility is an efficient utility. In 2020, we continue to drive operational efficiency and work towards optimizing all aspects of our business. We generated productivity savings of approximately $286 million, which represents a year-over-year increase in productivity of approximately 41%. We recognize that our success is dependent on us being a trusted partner and supporting First Nations, customers and communities that we serve. The pandemic gave us an opportunity to further strengthen these partnerships. I'm pleased to report that this year we further accelerated our spending with our indigenous partners. During the pandemic, we have continued to expand the indigenous supplier base and spent $43 million with indigenous businesses for goods and services in 2020, the highest amount to date. And we were delighted to be recognized for the work we are doing by the Canadian Council for Aboriginal business, with silver level certification and progressive Aboriginal relations advancing from our bronze level certification in 2017. Our goal is nothing short of achieving a gold-level certification. Early in the pandemic, we reached out to the First Nations communities that we serve and ask how can we support them. This resulted in us partnering with GlobalMedic to deliver over 13,000 kits of food and safety supplies to First Nations' communities across Ontario. We also launched the new fund to help communities respond to new and urgent challenges. Charitable organizations, municipalities and indigenous communities can now apply for support towards pandemic response efforts and initiatives that improve physical and emotional safety. This is part of Hydro One's commitment to build safe communities across Ontario. The focus on customers and customer advocacy has resulted in us achieving our highest customer satisfaction score to-date. This reflects the ongoing engagement with our customers and supporting them with programs such as the suspension of late payment charges and returning security deposits, in addition to the pandemic relief measures we put in place. Just days after a global pandemic was declared, we put in place a Pandemic Relief Program to assist customers affected by COVID-19, offering financial assistance and increased payment flexibility. We know people across the province are experiencing monumental challenges, and we have a responsibility to be there for them. That's why we recently extended the financial relief and flexibility to small businesses who have been experiencing hardship. We also recently launched the Connected for Life program. This is our promise to help customers stay connected to safe and reliable power while we help them access financial relief programs and more flexible service options. The events in the last year gave us the opportunity to advocate for our customers by encouraging and supporting greater customer choice with respect to time of use pricing, as well as temporary relief offered by the government. We applaud the government for their efforts to provide assistance during this challenging time. We also applaud the government for improving Ontario's competitiveness in the last budget by removing a portion of the global adjustment cost from the electricity bill for commercial and industrial companies. This action will save our commercial and industrial customers between 14% and 16% and will make electricity prices in Ontario competitive with other North American jurisdictions. The Rate Relief is important as we invest responsibly in our core transmission and distribution businesses and continue to innovate and grow our business, primarily through our investments in organic-rate based growth and in addition to this organic growth, we were pleased to announce the completion of the two local distribution company acquisitions this past year. This resulted in further rate base growth. We are now busy integrating Orillia and Peterborough into the Hydro One network. As we grow, we're also keeping a keen eye towards innovation. Earlier in 2020, we launched the Ivy Charging Network, a partnership with Ontario power generation to create Ontario's largest and most connected electric vehicle charging network. I am pleased to report that we have opened 23 fast charging sites across Ontario and are on track to have over 160 fast chargers across approximately 60 locations in Ontario by the end of 2021. Part of our revision of a better and brighter future for all includes a cleaner and greener future. We are proud to transmit and distribute energy that comes predominantly from zero carbon emitting sources. We know we can take this further by reducing our carbon footprint and managing the impacts of climate change on our business. As we reinvest in our system, we continue to adapt our design and equipment standards to address the impacts of climate change. We recognize the great companies are those that value diversity and create equitable and inclusive cultures. Gender diversity has always been important to us and then signatories to the catalyst accord, I am proud to say we met those commitments. As a leading committee in the institution, it is also our duty to take a leadership position in the fight against racism. In addition to signing on to the BlackNorth Initiative, we also started a dialogue with our black employees with the objective of listening and understanding to inform the creation of meaningful racial equality programs. We have now established a diversity and inclusion council to help guide us through our journey. In the wake of the COVID-19 lockdowns, we also felt that it was important to address mental health and wellbeing. Hydro One and Jack.org announced a partnership to address a growing demand for mental health resources. The partnership brings free virtual mental health talks to young people and their families across Ontario. At Hydro One, we believe that governance around our initiatives is important. That is why we chose to enhance our sustainability report further this year. We aligned with the global reporting initiatives core standards and the sustainability accounting standards board's framework. We also committed to aligning with the Task Force on climate-related financial disclosures in coming years. This effort is paying dividends as we were yet again designated a sustainable electric company by the Canadian Electricity Association and we recently received an ESG risk rating of low risk from Sustainalytics, a global leader in ESG research and ratings, placing us 11 out of 156 in its global industry group the utility sector. And we were again voted one of the 50 Best Corporate Citizens in Canada by Corporate Knights. This past year has been a busy one on the legal and regulatory front. We obtained a positive decision from the Ontario Divisional Court on the deferred tax asset with the expectation to have full resolution of the case from the Ontario Energy Board at first half in 2021. We received a number of rulings from the OEB that highlighted the constructive nature of our relationship. The OEB approved the Orillia and Peterborough transactions that I referenced earlier. In their decisions they highlighted Hydro One's unique position to extract value from these transactions. We also obtained a favorable approval on our transmission rate application that set the transmission capital investments and rates till the end of 2022. This means that both our distribution and transmission segment are now in an incentive rate making framework till the end of 2022. Giving us regulatory certainty for the coming years. We liked [ph] the incentive ratemaking framework as it gives us an opportunity to share the fruits of our labor with our customers. This year, we shared approximately $15 million with our customers on account of high demand and disciplined cost management. The successes on the regulatory front have helped reaffirm our preparation for the upcoming joint rate application for both transmission and distribution businesses. The JRAP [ph] will consist of both the distribution and transmission rate applications for a five-year period starting in 2023. To prepare we've embarked on a roll robust customer engagement that helps inform our views and plans with respect to affordability and service levels. We are more in tune with the needs of our customers and this application will be informed by that feedback. We expect to file the application in the second half of the year. Our ability to problem-solve and be nimble would not have been possible without the devotion and hard-working of our employees and the partnership of our unions. We were pleased that despite the pandemic, we were able to renew two collective agreements with the Power Workers Union, covering a large sector of our employees. We have great partnerships with our unions, particularly as we continue on our journey to zero serious injuries. And I am proud of how all our employees have supported one another. Being creative and adapting to our changing circumstances and united behind our vision, which enables us to deliver great results for our customers and shareholders. Hydra One was selected for Forbes annual list of Canada's best employers for sixth consecutive time. This honor reflects Hydro One's ongoing commitment to our incredible employees who proudly energize life for our customers and communities in Ontario. Chris, over to you.
Chris Lopez: Thank you, Mark. Good morning, everyone, and thank you for joining us today. I hope you and your families are both safe and doing well. As Mark mentioned, there's a lot to be positive about. Together, we've accomplished a great deal Since launching our strategy a year ago. Faced with the challenge of COVID-19, teams have continued to perform admirably. I would like to thank all who have contributed to this positive outcome in unique and challenging circumstances. I look forward to continuing to create a better and brighter future in 2021 and beyond. In terms of our financial results for the quarter, we saw a decrease in earnings per share or EPS from $0.35 cents last year, compared to $0.27 this year. For the full-year, EPS was $2.96 and adjusted EPS was $1.51 compared to EPS of $1.30 and adjusted DPS of $1.54 last year. On a full-year basis annual income in 2020 was over $1.77 billion. While this seems extraordinary, this includes the one-time impact of the Ontario Divisional Court or ODC, ruling on the deferred tax assets of $867 million. Adjusting for this and comparing to the adjusted net income for last year, we see a marginal decline in earnings year-over-year, with adjusted net income at $990 million last year, compared to adjusted net income of $903 million this year. There are two main drivers for the decline in adjusted earnings. First, you will recall the one-time catch-up revenues for 2018 following the distribution rate decision adding approximately $85 million of revenue or $0.11 EPS to 2019 earnings. Second, in 2020 we incur direct costs of approximately $50 million related to the COVID-19 pandemic, on which I will elaborate further in the call. Despite the challenges faced in 2020, we were successful in partially offsetting these headwinds with productivity improvements and stringent cost control, leading to an overall reduction in OM&A. In addition, we recognize revenues related to prior year conservation and demand management and approve rates as part of the transmission and distribution rate decisions by the Ontario Energy Board or OEB. Finally, the hardware [ph] that drove up demand this past summer, which further supported revenues. We are once again pleased to share approximately $50 million [ph] with our customers by the earnings sharing mechanism, following admirable performance in the distribution segment over the past year. Consistent with last year, this is an example of a constructive incentive-based regulatory model in which together we can and have enhanced value for our customers. We will continue to strive to be a leading utility in efficiency and productivity. On the productivity front, we achieve $286 million in productivity savings in 2020. This is an increase of approximately 41% which brings our cumulative productivity gains since the initial public offering to over $735 million. We saw meaningful increases in productivity in areas such as operations, fleet, optimization, procurements, corporate costs, IT contract reductions and call center costs. Overall, productivity was split evenly between all M&A and capital expenditures. Focusing on the fourth quarter, the main driver of lower quarterly earnings, as compared to last year, was higher COVID-19 related costs, reduction of insurance proceeds received, higher depreciation, and asset removal costs due to growth in capital assets and timing of work and higher taxes. These are partially offset by rates previously approved by the Ontario Energy Board. Revenue and purchase power was high year-the-year by approximately 2.5%. The distribution business was the primary contributor to the increase revenues and distribution revenue net of purchase power was higher by 7% year-over-year. This increased as the result of distribution rights approved by the OEB in 2019. Addition of revenues attributable to the Peterborough and Wheeler acquisitions, and the law of regulatory adjustment related to the earnings sharing mechanism as compared to last year. Transmission revenues were lower by 2.2% in the fourth quarter, compared to the same quarter last year, primarily due to lower peak demand driven by weather. The lower transmission revenues were partially offset by the OEB's decision on transmission rates, which included the recovery of certain other postemployment benefits or OPEB costs that are now expensed making the net income neutral. On the cost front, operating, maintenance, and administrative expenses for the fourth quarter were higher by $34 million or 14.2% versus the fourth quarter of 2019. The increase is primarily due to COVID-19 related costs, lower insurance proceeds received for the Finch, Longwood, and Marybelle Stations in 2020, and OPEB costs that have been collected in revenue and recognized in our M&A following the OEB transmission rate decision. As referenced earlier, these OPEB charges are net-income neutral. With respect to COVID-19 costs for the fourth quarter, we incurred operating costs of approximately $18 million. There are two reasons for these costs. First, following the issuance of the OEB staff proposal in December, we reversed the recognition of the regulatory asset associated with the incremental bad debt provision recognized in the first quarter of 2020. The OEB staff issued a proposal following receipt of reports from external consultants regarding how to treat COVID-19 related costs and lost revenues. The staff proposal suggests that utilities must demonstrate a financial need and meet certain criteria to recover COVID-19 related costs and lost revenue. Based on our interpretation of the staff proposal, it is unlikely that we would qualify for recovery of any significant amount of COVID-19 related costs or lost revenues. Accordingly, we reverse the recognition of the regulatory assets associated with the incremental bad debt provision recognized in the first quarter of 2020 and have recognized this expense in all M&A in the fourth quarter. That said, consultations with the OEB are still ongoing and the final decision is expected in the first half of 2021. Second, we had additional expenses this quarter with a purchase of additional facility and cleaning related supplies. Consistent with the previous quarter, the impact of the measures taken by Hydro One to support our customers including the pandemic relief fund, financial assistance and increased payment flexibility, extending them a relief program, and a temporary suspension of late fees are not expected to be material. On financing, we saw a slight increase of $3 million or 2.6% in interest expense in the quarter compared to the same quarter last year due to higher weighted average debt balance driven by the successful debt issuances in 2020. Last year, we issued a total of approximately $2.7 billion of debt between Hydro One Limited and Hydro One Inc., all at competitive rates. As referenced in the last call, we used the net proceeds of the issuances in the fourth quarter to redeem all outstanding series one preferred shares of Hydro One Limited and a creative transaction. We expect to use the remainder of the proceeds to repay and/or prepay maturing long term and short-term debt, including maturities in early 2021 and for general corporate purposes. For the full year, financing charges were low about $43 million or 8.4% compared to full year 2019, due to financing costs related to the merger incurred in the first quarter of 2019, partially offset by an increase in interest expense due to the increase in the weighted average debt balance in 2020. Overall, we're pleased with stability of our balance sheet and our robust investment-grade credit ratings. As we look forward to 2021, we will continue to access the debt markets opportunistically. Turning to the income tax recovery, which $785 million compared to $6 million last year. The result of the effective tax rate or ETR were 77.6% negative, compared to 0.8% negative last year. The increase in recovery was primarily attributable to onetime $867 million tax recovery recognized following Ontario Division of Court ruling on the deferred tax assets. Similarly, last year, the lower effective tax rate was resulted from $51 million recovery related to cost associated with termination of the merger, adjusting for the two non-recurring events to adjust the tax expense with $82 million compared to $45 million last year. This represented an ETR of 8.1% compared to 1.6% in 2019. The values are consistent with the ETR balance range of 6% to 13% that we have provided last year. We expect the ETR to remain in this range for the next five years subject to the timing and manner in which the IRB will implement the Divisional Court ruling. We expect to start collecting more revenue with a corresponding increase in taxes once that is resolved. The increase in annual tax expense was related to two main factors. First, in 2019, we had higher incremental tax deductions from the deferred tax asset sharing relating to the catch-up revenue for 2018. Second, we had temporary differences related to the mix of assets placed in service, which impacted accelerated CCA values and higher tax related to non-service overhead costs recovered through all M&A. Together, these factors resulted in a higher ETR. During the fourth quarter, tax expense was $27 million, compared to $2 million last year. The effective tax rate for the quarter was 14.2% versus point 9% last quarter [ph]. The increase in income taxes for the quarter was primarily due to temporary differences, resulting in lower deductions. In addition, we had lower incremental tax deductions from DTA sharing attributed to the 2018 ketchup revenue. The increases were partially offset by lower income before taxes. Leading to investing activities, capital investments in the quarter increased by 2.7% with the majority of these increases coming from the transmission segment, as we continue to invest in multi-year development projects, station refurbishment, and building out the new Ontario Grid Control Center. Capital investments in the distribution segment declined year-over-year as they were lower investment in reinforcement projects and lower spend on worker customer connections. For the year, capital investments were up 12.7% and in line with our expectations. You'll notice that the future capital investments profile for both of the segments have changed marginally for 2021 and 2022. This is due to timing differences in our project planning and it does not impact our projected rate base growth. As a reminder, the capital investment numbers for future years remain subject to OEB approval as part of the joint rate application. We paid $878 million of assets in service in the fourth quarter and 3.4% increase over a year on primarily to the distribution segment. Distribution assets placed in service rose by 13.7%, driven by the completion of the customer contact center technology modernization project, the Woodstock Operation Center, and higher volume of storm related replacements. The decrease in transmission assets placed in service during the fourth quarter primarily stemmed from a substantial investment placed in service for meaning to transmission station in the fourth quarter of 2019. On a full year basis, assets placed in service were lower by 3.8%. The transmission segment was lowered by 12.4%, mainly due to the servicing of Niagara Reinforcement Project in 2019. The distribution segment was up 13.6% versus last year, primarily due to the same reason for trade increase in the fourth quarter as well as the completion of the Mannington [ph] Transmission Station through the development project. On regulatory matters, we are very pleased that we have stability with both segments having approved rate cases and certainty on our forward capital investments under the incentive rate making framework through 2022. As Mark mentioned, we look forward to finding a joint rate application in the second half of this year. Finally, we are awaiting the final decision on the timing of the DTA recovery and expect to resolution within the first half of the year. Lastly, we continue to be committed to and affirm our guidance of 47% earnings per share growth through 2022. I'll stop here and we'd be pleased to take your questions.
Omar Javed: Thank you, Mark and Chris. We ask the operator to explain how she'd like to organize the Q&A polling process. In case we aren't able to address your questions today, my team and I are always available to respond to follow-up questions. Please go ahead, Jen.
Operator: Thank you. [Operator Instructions] Our first question comes from Mark Jarvi with CIBC Capital Markets. Your line is open.
Mark Jarvi: Thanks, everyone. Maybe Chris can clarify a little bit to me, when you say $50 million of earnings sharing with customers and maybe split between distribution and transmission and maybe share roughly early was for the transmission and distribution plays this year?
Chris Lopez: Excellent question. The ESM is entirely attributable to distribution. So it all comes from distribution and it compares to last year's ESM of approximately $20 million. So pretty much achieving results in line with last year.
Mark Jarvi: Okay. I think there was a comment also about opportunistically access in the debt markets. I mean, we did come to market in the fall last year and take care of it this year. So, what else could that mean? Is there any longer dated once there are higher components notes out in 2030 or 2032 that you could opportunistically refinance or maybe just share any color in terms of opportunities in the debt market?
Chris Lopez: Thanks, Mark. Really what we were indicating there is that we ended the year with probably a higher cash balance than we normally would. We ended the year with around $685 million at Hydro One Inc. and that really was to prefund a debt maturity here in February. So we have no need to come to the debt markets until the second half of this year. We may come earlier if the right opportunity presents. We're not looking at those long-term refinancing. To get out of the ones we have today, we would have to pay out of market and then you would really finance it at today's rate. There isn't a large game for the ratepayers or for the company in that matter. So we were just highlighting the fact that we don't need to come to market anytime soon, at least until the second half of this year, and when we do come to market, our debt requirements are might be slightly lower than normal, but we could also consider funding some of next year's debt maturities. We've got one coming early in the new year in January. Something that could be in the order of $1 billion to $1.5 billion is normal. We could be on a slightly lower side of that and not until the second half of this year.
Mark Jarvi: Thanks for clarifying.
Operator: Thank you. Our next question comes from Robert Kwan with RBC Capital Markets. Your line is open.
Robert Kwan: Great. Good morning. Just on the COVID cost, you mentioned that you're going to continue to work through their process, but given you've taken this into the income statement, how far would you take things initiative stand [ph]? And I'm thinking about R&Ds or to the cohort, similar to what you did on the tax side?
Mark Poweska: It's Mark here. Maybe, I'll start with that and then Chris can weigh in. So we are working through the process as he said, Robert. On December 16, the OEB staff released their proposal of the deferred accounts. This is the staffs opinion, we're still going through the process and the panel will make the final decision. So, there are subsequent sessions underway and the OEB anticipates finalizing its guidance in the spring of this year. We are participating fully in all of those subsequent sessions with the OEB, as long with our other partners and through the associations that we belong to. I'm really what the OEB staff proposal was. And again, this is the staff proposal, this isn't the final decision is that utilities needed to demonstrate a financial need and meet certain criteria to be eligible to seek recovery. And essentially, what they're saying is, is the mechanisms that are in place right now, with our incentive, ratemaking, construct allow for things like this. So, we'll continue to participate in those, we did reverse our bad debt provision that we'd taken earlier in the year. And it was primarily based on the staff proposals, that we felt there was less certainty around the recovery of that bad debt and based on those proposals. But we'll continue to work through that process. Chris, you got anything you want to add?
Chris Lopez: Sure, I think, really close. The only thing I'd say is that we are being conservative here. Given that there still is some debate around what can and can't be recovered. In the stock proposal, if you read it, it talks about a general principle that if you above, you're allowed ROE, then they talk about those two tests being financial need, and certain criteria, the financial need is if you're over earning, or above, you're allowed ROE then potentially maybe you shouldn't recover. And then meeting certain criteria's, when there was a specific imposition, being the extension of the winter ban, or some government direction, as part of COVID-19, that they would make exceptions for that. So still a lot to be resolved. Robert, we are being conservative at this point. And we're also conscious that every utility is affected differently. So we want to make sure that it's the right decision for the electricity industry in Ontario, not just for last year. But looking forward to this year, we're not really, the impact could still change from this point forward. So I wouldn't read into that there is no recovery. What we're suggesting is right now, the conservative approach is to write it all off. And that's what we've done. We are still tracking it. And we're still part of the conversation.
Robert Kwan: Just a follow up, Chris, you brought up a really good point there that worked out okay for you in 2020. Because of all the great work you did on productivity savings, and you got saved by whether, you know, this continues, hopefully it doesn't. If it continues to play out through 2021? You can't necessarily what you definitely can't bank on weather necessarily the same, further improvement in productivity savings. So I guess the question is like, how you unified those [ph]?
Chris Lopez: Like I said Robert, we're going to stay in the conversation, and we're going to agree on principles. And I think that's what the OEB staff are trying to do. So they taught me about a principle-based approach that meets the needs of utility industry overall. So that's why I still there. So I agree. It's not a case of saying, look it worked between 2019 or 2020, therefore it moves forward. The other thing I'll point out, Robert, is that staffs opinion, remember, the decision is made by a panel of the OEB, there two separate and distinct parts. So it's still a ways to go here to get to a final conclusion, we're still fairly confident given the large increases we had on COVID that you're referring to really happened very early in the piece. I personally don't expect to see that reoccur now. We are ticking along at a much smaller burn rate, to stay safe and healthy in operations. But early on, as you'd appreciate; when it first struck a lot of those direct costs occur in Q2 and Q3. So, I would expect that to be the same going forward. So I don't think it's the cases. It's one for 2020 and one for 2021. I think they're equal in Austin pieces there. But we're going to remain part of it, Robert. So it's not a case of just walking away, it's the case of standing in their conversation.
Mark Poweska: The only thing I'd add Robert is you know, your point around kind of whether helps us out last year, which it absolutely did, but there's a lot of puts and takes to load and we don't have an approved wave from the OEB to really dissect the COVID impacts from weather. But I would point out that in January and February from, and this is all public information, the load is up again over previous years, year-on-year by 1% in January and 3.5% in February. So, I think there's not, as I said, puts and takes to load. And we're not trying to dissect those at these points, but just point out that we are entering the year in a fairly good position.
Robert Kwan: Understood. If I can just finish on a general question around customer rates, and you've had a focus on customer facing initiatives and an advocate for your customers, trying to find different ways to keep rates affordable. And I guess just Mark with your integrated utility background, and having been in Ontario now for a little bit, are you getting traction at the provincial level with respect to things that you've seen and done that could help achieve efficiencies, reduce duplication, drive costs out of this system, to kind of help ratepayers but not necessarily impact hydro one specifically?
Mark Poweska: Yes, great question. And yes, I am seeing a much better cooperation over the last year with the different players in the sector. So the OEB, the ISO or some of the other entities. I was also pleased to see that the government made the changes that they made, which, you know, one of the biggest drivers of the cost in Ontario is the global adjustment as a result of the policy to close down coal early and move to renewables. Government recognized that in their November budget, and they took a substantial amount of the global adjustment off of the ratepayers and put it on to taxpayers, which I think was prudent from my perspective as government policy that grow those cost, not the utility sector. So I think, that was a really good move which helped to reduce rates on customers overall. But it also helped to facilitate all the people in the sector. I do want to point out that we did recently launched our connected for life program. And I want to give a little bit of context of what that was about. And that's really our promise to keep our customers connected during this time. And what we discovered is that a lot of our customers weren't aware of the relief available to them. And so really big connected for life is to attempt to reach out to our customers to get them to contact us, and to work with us if they are having troubles paying their bills. So 70% of our customers when we surveyed weren't aware of the relief available. And the 8% said billing would our balance billing throughout the year would help them but only 30% were aware of it. So there's a bunch of programs that customers weren't aware of. So we launched the connector for life program. On your specific question around, what am I seeing as far as opportunities to drive out efficiency in the overall sector? I think we're getting to that. There's new leadership at the OEB who's looking for that, and it's open to feedback and which is really nice, breath of fresh air for us because they are listening to our ideas. The ISO is working with us on options to meet future loads and what the most efficient way of doing that is. And we're working through the other LDC in the province on putting together joint submissions on these types of things. So I see a real cooperation across the sector in the last year that I'm not sure I saw when I first came in.
Robert Kwan: That's great. Thank you very much.
Operator: Thank you. Our next question comes from Rob Hope with Scotia Bank. Your line is open.
Rob Hope: Good morning, everyone. First question is just on the day wrap. You said you've started consultations with your customers, what's your kind of initial ask there? Are you looking for any kind of changes of how the revenues are structured? How the ROE is structured? Or are we a little early there?
Mark Poweska: Yes, maybe I'll talk a little bit about the process. So we are still under the evidence development, stages of preparation, we did do two rounds of customer outreach, very extensive customer outreach, far more than we've done in the past and far more than from what we understand any other utility has done. And that's really to test our customers appetite for different levels of spend and what that might mean to bills and what that might mean to reliability of the system. And so we just finished the second round of customer engagement, about 43,000 customers did participate in that and there was an extensive online booklet that they had to go through which really commented on, a certain level of spend, you get this level of reliability this was what would mean to your bill and we got really good feedback from that which really supported our case and our need to invest in our existing assets to keep them safe and reliable for the long term. So, as you know, the setting of the ROE and the process and the regulatory construct or debt equity construct that's defined already. So that's not up for debate. And it's formulaic. So we won't be debating that. But we think we're in good shape to file and on track to file in Q3 of 2021 this year for that joint rate application.
Rob Hope: All right, thanks for that. And then just a follow up on the earnings sharing mechanism where the COVID costs, specifically the one that you booked in Q4, but that was that included, or was not accounted for in that $15 million of earnings sharing or is that set aside from it?
Mark Poweska: Chris, do you want to give the specifics on that?
Chris Lopez: Sure. Thanks, Rob. Yes, so the way the earnings sharing mechanism works as you look at the overall net income of the segments. So in this case, it was distribution. So that $15 million, like all the other COVID costs would be included in the net income that you calculate for that segment. So would have been in there, then you work out what your amount of overrun is above, you're allowed. And clearly, we're above 100 basis points over our allowed ROE, which means that we shared any of that excess earnings with rate pays. And that's what made up the $15 million. So it is net of all the COVID costs that we've incurred during.
Rob Hope: All right, thank you.
Operator: Thank you. Our next question comes from Linda Ezergailis with TD Securities. Your line is open.
Linda Ezergailis: Thank you. I'm wondering if we can reflect maybe on as the global pandemic has unfolded, unfortunately, maybe some of the local distribution, utilities have not fared as well as Hydro One. So, you know, how has Hydro One been able to provide assistance to these LDC to date, strengthened overtime? And might this ultimately lead to acceleration of consolidation? Can you talk about what the pulse is, in your conversations right now, at this point?
Mark Poweska: Sure, I'll start with how we support them. And then I'll ask Chris to talk about, you know, opportunity for consolidation [indiscernible] that portfolio. So, Linda, we've recognized that the LDC are customers, so, we've been there to support our customers through this. Early on, there were liquidity concerns overall with the LDC sector. And we joined forces with them to advocate for certain relief with the ISO, which really gave them a backstop that if their customers weren't paying them, you know, that they had some support from the ISO on payments to the ISO. So really, we've been part of the overall sector to advocate for how the entities can support the sector during this time. And we have through our customer and our community outreach, supported customers. So, for example, we launched a pandemic program where communities could actually apply to Hydro One for a grant of up to $25,000 to support them with health and safety measures, including mental health measures that they need for the community. And a lot of that was recognizing that in our budgets, we budget and allocate a certain amount for community events in the province and a lot of those weren't happening. So we were looking for ways to get to support our customers through that through other mechanisms. So we did that. So Chris, do you want to talk about consolidation and what it might mean?
Chris Lopez: Sure, just first thing, I will quickly expand on the development of our approach with LDC. So as Mike said, there are customer of ours. So that's been developed out and we're doing everything we can to help him. They also appear within the electricity industry in Ontario markets in a number of associations as to why that advocate for our customer, but also for the industry, including the LDC. So we're working to ensure that they are supported and I'll tell you early in the process, there was this belief that as Mike said they were going to have credit challenges. Well, through industry consultation, and support. They ended up with some support through the ISO in terms of if they ran into some financial challenges. They had some financial support there. The government of Ontario as well as the Federal government helped the municipalities with purchasing municipal bonds, which really gave them access to financing through that period, which allied all of those concerns that were there, but really, we are being that good partner, good provider. And then, we will extend that relationship into consolidation in the future, if we can work together in a way that's meaningful for customers and for the municipalities. Each municipality is different; I'll be the first to acknowledge that. So it's not a case of it's a competitive electric market with everybody with the same objectives for profit and for other areas. So, we've got to approach each LDC independently and really work with them on what makes sense for their municipality. I do think it will enhance the ability to complete LDC consolidation. What we said early on in the COVID-19 situation was that we weren't going to be predatory anyway. We're there to support them first and foremost, I think as we're coming out of COVID-19, we are starting this conversation around what can we do more? You know, we've partnered better with them during COVID-19. How can we now help them achieve their objectives in the municipality for the next 15, 20, 40 years? So, they're starting now? I mean, I would expect it with help. I don't have numbers for you today, but I expect it will help accelerate LDC consolidation going forward.
Linda Ezergailis: Thank you. And as a follow up, there's, I guess, a drive for economic stimulus spend in the province. And I'm wondering, might that create incremental infrastructure build opportunities for Hydro One and given the tradeoff between reliability and cost, and you've gotten some good feedback on that, I'm wondering if that also might support a case for more investment. And I guess the third prong of my question would also be in consultations with your staff and your unions, what sort of support is there for them for innovative solutions to drive efficiencies and enhance the rate process for the next five years beyond 2022?
Mark Poweska: So I'll start with the economic recovery. And really, you know, we were expecting the government in the last budget to for it to be an economic recovery budget, and then they're going to release another budget in March, which originally, we thought was going to be an economic recovery budget. But given where we're at with COVID, we expect it's likely going to be more of a support budget, and the likely need to release another budget in the fall. So which we're expecting to be the economic recovery one. So what we're doing is, we are we are offering up where there's opportunities where we could help stimulate the economic recovery. We've also pointed out that our investment in our current rate base growth does have a large spin off into the economy of Ontario and as we execute that, we are supporting it. But we have identified opportunities to advance spending on certain projects, that one would increase our spend, which can flow back into communities, but also can open up industry. We've talked about the Lamington area in Southwest Ontario, there's opportunity for more transmission down there to unlock more supply to that area, which there in need of, as well as we're working on the [indiscernible] line, as you know, and there's an opportunity that if the ISO and the government wanted to advance that and accelerate that we could do that as well. So we're putting those types of things on the table to say, you know, here how we could support the economy by spending in our existing assets, but also how we could build new assets, which would open up other sectors of the economy for further growth. And the second part of that is sorry. You had a second part of that, which was the innovation of our staff. So a lot of our productivity achievements are ground up driven productivity achievements. And there's not one thing that we've done to achieve the level of productivity we've talked about. We have what we call a lighthouse program in our distribution sector, which is really - call it similar to a Toyota [ph] lean type process where we engage frontline employees in problems and solutions with which drive out efficiency. So we've got a list of things that we can and will be looking at, and engaging our frontline staff in the solution to that to drive out a more efficient organization.
Linda Ezergailis: Thank you.
Operator: Thank you. Our next question comes from Ben Pham with BMO Capital Markets. Your line is open.
Ben Pham: Hi, thanks. Good morning. I was wondering if you can talk a bit about perhaps on some of the volume trends you saw during the quarter. The transmission was down. I assume it's mostly weather-related, you saw distribution ramp up and we've seen some uptick in January, February, this year. I was wondering if you can unpack that up a little bit and pop up the residential volume trends and C&I [ph] and the weather impact probably?
Mark Poweska: Yes. I can talk generally about that. As I said earlier, the OEB has really come up with an approved methodology to kind of dissect how we separate normal patterns from COVID. But we are seeing in the residential, like you said in Q4, the residential overall consumption was up on the distribution side, yet the peaks were down. And really, I think that's just representative of the number of people who are working at home and as the government puts more constraints on people not moving around the province or going to the businesses, you're going to see that on the residential side. It's going to go up simply because people are home all day. On the peak aspects, a lot of it is driven by weather, but there's things like the hiatus on the industrial conservation initiative, which took the pressure off of industry from shaving peaks. So, there's weather input and there's decisions such as that, that drive the outcomes and I think they're all contributing to what we're seeing. But as I said, there's no real approved methodology that we can dissect those right now. And we wouldn't want to speculate on the makeup of each of the segments in what's driving the load both on the peak side, and transmission and distribution. As I pointed out earlier, we are seeing in January and February that they are up year-over-year again, and a lot of that I think is because people are working at home, as well as we had a bit of a cold snap the last month.
Ben Pham: Okay. And maybe to qualify the joint application you're playing. Do you think you have or will have enough visibility for the duration that you're thinking here? I mean, obviously as you mentioned that the volume is somewhat debatable on projections, perhaps on sustained work-from-home impacts, the ROEs moving around a lot to where interest rates are going and yet be mindful of that when you're going in ROE and how long you want to fix that to five years and also the theme of electrification when that comes in? And do you hear that there is going to be a big push for you guys that have a five-year duration on plan or maybe something a little bit less?
Mark Poweska: Yes. We are required by the OEB to file a five-year plan and right now that includes a five-year load forecast. This summer when we file, we will submit based on what we know today. But we will provide evidentiary updates near the end of the process next year, both on the rate aspect based on current rates next year, as well as on current thinking around load forecast. So, there is a lot of uncertainty in the load forecasting right now because we're still in the middle of the pandemic. We think that we will get more certainty and clarity on the longer-term impacts of the load. By the end of next year, we'll have more clarity than we do today. And the load is - one thing I would say is we reset the load going into this period. So really, there was a decline in load in the 2015 to 2018 period. We reset that in our latest applications, which really kind of levelized things. So, we're coming from a good position on that and we'll continue to monitor the load overall but we do have the opportunity to reset it just before the period starts.
Ben Pham: And the you mentioned in the COVID-19 props, that's reflected in ESM, so it made just to close off the question there a bit. If you if you push hard on going through say, appeal on that as suggested by an early question. I mean, we - basically you're recovered - the cost that we recovered from customers if we can have it back to customers then [ph]?
Mark Poweska: Chris, you want to take that?
Chris Lopez: Yes, sure. Ben, it's Chris. For part of it, yes, we shared $15 million with customers, which means that the overrun was around $30 million. So, the first $30 million will be shared 50% to the customers. So, you're absolutely correct. And hence, that was my comment earlier in the call around the position of OEB staff around, if you were in a position where you're above your net ROE, or in your overrun, there are mechanisms in their opinion that take care of this. But that is a position that's out there. If it was on the downside, the downside would be true as well. So that's the principle-based approach that the OEB staff is advocating and you're correct, that we would share 50% of any recovery [indiscernible].
Ben Pham: Okay. My last question is on the 2025 CapEx estimate. Do you plan to put that out, maybe around the filing of veteran application in second half?
Mark Poweska: Chris, do you want to take that?
Chris Lopez: Can you just repeat that, please, Ben? I couldn't catch it.
Ben Pham: Yes, sure. So, you have a four-year CapEx program right now. What's the timing with respect to adding another year there? Is that in conjunction with the joint application? Or if you do it, can you put it on earlier [ph]?
Chris Lopez: Yes, definitely correct, Ben. We looked at a year-on today, that year would be based on - our practice is to try and stay as close as we can to what's been approved by the OEB to give certainty to our investors. So, as soon as we file the joint rate application, we'll extend that table and it could be beyond five years. As you know, we're going to provide clarity in the application out to 2027. So it's likely that we would do that at that time.
Ben Pham: Okay, all right. Thank you very much.
Operator: Thank you. Our next question comes from Andrew Kuske with Credit Suisse. Your line is open.
Andrew Kuske: Thanks. Good morning. Mark, in your opening comments, you outlined reliability and just the improvements you've seen over the last, I think it was 12 years. Could you just outline a little bit on how you think that translates into economic benefit for Hydro One rate payers, whether it's by way of smarter maintenance costs, freeing up capital for growth, better customer relationships. If you could just give some color on that, that would be appreciated.
Mark Poweska: Yes. I think all of the above, Andrew. When we do our customer survey on what's important to them, reliability is important to them. And on the upside, it gives us good customer satisfaction. When it's not there, it's the number one thing that drives down customer satisfaction. So, there is a customer driver around the reliability of the system. In my opening, I talked about the transmission system and because the transmission system is the backbone, it's the main arteries, the reliability of that system is really important. And so, you can see that our focus has been on ensuring we maintain the reliability of that system. On the distribution side, it's quite a different story being our reliability is third quartile overall. Part of that is because we're rural. That's part of our joint rate application is recognizing this over time, because we've had to move costs out and defer spend for other reasons that we are looking at investing in the distribution side to improve the reliability there. So, we do need the CapEx to do that and part of our customer outreach is to get the support from our customers and the evidence to support our need to do that. And so, you'll see that when we filed the joint rating application,
Andrew Kuske: Okay, that's very helpful and a different bench question for Chris and it's really just on rate sensitivity. Given the steepening we've seen in the curves recently, how do you think about just the rate sensitivity of Hydra One overall and then maybe tied into that is the U.S. shelf that you filed late last year?
Chris Lopez: Hi Andrew. Thanks for the question. Look, rate sensitivity, we're well-placed at this point. We're three to five years into a distribution application. We're kind of in the right period we're one or two years into our transition. We've done a lot of our refinancing and getting the financing done and setting this up for this period to go into JREF [ph]. We've got about $1 billion per year for the remaining two years to go. The debt that's coming off is roughly the same, maybe slightly higher coupon than what the forecasts are on interest rates for the next two years. The part that I will remind you of, Andrew, is as we go into the next rate period, what's important to us is the ROE that's set at the beginning of that rate period, which is at the backend of 2022. So, that steepening yield curve that we have seen just recently and if you speak with some of the banks, you see a little more between now and the end of next year, or maybe quite a bit more. That will be supportive of ROE through the next rate period 2023 through 2027. So that's how we're thinking about it. We think it's balanced, we are in a good position today, we've got a lot of our large financing that we had to get done with more of the longer-dated maturity that is now complete, which is good. In terms of the shelf, really what we've done there, Andrew, that was the shelf that was set up really from a distance at the time. We've paid all of the fees to have that registered. So really what we're doing is maintaining that flexibility. We have no intention at this point, to use that in the coming year. But we thought look, it's set up, it gives the company additional flexibility and tapping to get markets, if we think we can't see in the future. But we have no intention over the next 12 months [indiscernible].
Andrew Kuske: Okay, that's great. Thank you very much.
Operator: Thank you. Our next question comes from the Mona Nazir with Laurentian Bank. Your line is open.
Mona Nazir: Good morning, and thank you for taking my questions. Firstly, just over the last 12 to 18 months optically, we're seeing a turnaround from a number of perspectives and that you're hitting and executing the number of targets, customer satisfaction and improvement there, includes regulatory and provincial relationships and recent wins on that front. Looking into 2021 and beyond, I'm just wondering what are the key focus areas for you guys, now that you've achieved success in some of your targeted areas?
Mark Poweska: Yes, great question, Mona, and it's really to continue execution of our overall strategy. And in the deck, we talked about the five elements of the strategy and we'll continue to do that, and to continue to focus on Ontario. And really a lot of the turnaround you've seen in the front you just talked about are our renewed focus through our strategy on Ontario and on really becoming an excellent operator of a utility. And so, we will continue to focus on that and continue to execute on that. We're not done yet. It's a five-year strategy and we're a year into it. So, I don't think that you'll see a lot of changes as far as direction goes. But we will continue to put initiatives in place to execute on that.
Mona Nazir: Okay, thank you. And just secondly for me, you just commented on the continued Ontario strategy. So, is it fair to say that your desire to move into the U.S. is still on hold following the Avista termination? I was just wondering with the passage of time, ultimately a changeover in management and board since and your thoughts toward a U.S. acquisition or is that really too soon?
Mark Poweska: Yes, it's really too soon. We're still focused on right here in Ontario. We do see that there's good growth potential in our regulated rate base and our need to reinvest in our current rate base. And we've talked about there is opportunity possibly to get a little bit more growth through consolidation in the sector. And we do have relatively small unregulated business in here Hydro One that there's small growth in there. But our primary focus will be on Ontario, and continue to be on Ontario and make sure we do a good job of submitting our JREF [ph] and building the case for why we need to continue to invest in our existing system here.
Mona Nazir: That's great. Thank you.
Operator: Thank you. Our next question comes from Patrick Kenny with National Bank Financial. Your line is open.
Patrick Kenny: Yes, good morning, guys. I just wanted to follow up on the COVID-related cost discussion and I guess, including any future costs associated with the Connected for Life program. Obviously, you guys are doing the right thing here, but to that end should you not be covered for these costs by the Ontario government? At least until the stay-at-home orders are lifted? So, thinking more outside of the process, you're in with the OEB, or potentially pursuing any legal recourse, but more of a direct, immediate reimbursement from the government? Because, again the right thing to do - are you are you planning on having any non-legal discussions with the government for direct cost recovery?
Mark Poweska: Yes, we're not planning on that. The way that regulatory construct works here is it's through our regulator, not government. And I think the government has done a good job of making sure that they're allowing the regulator to regulate. So, we'll continue to work through that avenue. The Connected for Life program is actually a program to support customers and connect them with our relief programs, but also with the programs that are available from government in other areas that our customers actually don't know about or don't know how to access. So, it really is a program to connect them to which relief we provide, but also broadly what's available to them. So, the government is funding a bunch of that. They have small business relief programs, they have individual customer relief programs and we have some top ups for those. But the Connected for Life is really to connect customers with all of those programs and quite frankly, it should help mitigate some of the impacts of bad debt because right now, as I said before, a lot of our customers aren't aware of those supports available to them. And so, as we connect them with those, it should help mitigate the risk of increased bad debt.
Patrick Kenny: Got it. Thanks for that, Mark. And then switching over to the energy efficiency front. So just curious how this accelerated case of technology across the economy over the past year has maybe influenced your ability to implement the smart grid infrastructure? And what it could mean for I guess both your capital investment plan as well as your earnings growth rate over the coming years, say, relative to your pre-COVID outlook?
Mark Poweska: Yes, I'm not sure COVID have an impact on that. One of our pillars is building a grid for the future and part of that is reinvesting in our smart metering assets reinvesting in our grid control center and things like that. So, we do have our work programs that are focused on those types of things. I think that what we're seeing now is that there is a focus on carbon and climate and on decarbonizing the transportation sector. And you're seeing that both in the private sector from the auto manufacturers here in Ontario, but we're also seeing that from the government supporting the building of EVs in Ontario and the desire for people to be able to charge their vehicles if they buy them here. That's was part of what drove us to starting our Ivy Network. So, I think there are a bunch of, I call it things that are climate-related and innovation, like distribute the energies and batteries and things like that on the horizon. But I don't think COVID has really kind of changed that.
Patrick Kenny: Okay, that's perfect. Thanks, Mark.
Operator: Thank you. And our last question comes from Matthew Weekes with Industrial Alliance. Your line is open.
Matthew Weekes: Good morning. Thanks for taking my questions. Most have been asked at this point. But I want to just follow up on what was talked about a bit earlier with kind of increasing interest rates going forward, we're likely to see some kind of inflationary pressures. How do you see that kind of impacting the capital side of the business and the capital spending plan?
Mark Poweska: Yes, our rates are locked in till the end of 2022. So, it shouldn't have an effect at all on our current capital plan. And we will - as we put our joint rate application forward, it will be reflective of the needs of the system and what that means. The rising interest rates from an ROE perspective, as you likely know, it's formulaic based on the kind of long bonds on that. So as the interest rate goes up, ROE formulaically goes up. So, I don't think it will have an impact on the short-term capital program. On the longer-term capital program, we are, as I said before, building the case for what we need to invest to keep the system reliable. So, interest rates shouldn't have an effect on that, but it will impact our ROE and if they go up impacted in a positive way.
Matthew Weekes: Okay, thanks very much. I'll leave it there.
Mark Poweska: Thanks. Omar, are you on mute?
Omar Javed: I think that concludes the Q&A session for today. And thank you, Shannon for your help in managing the Q&A process. The management team at Hydra One thanks everyone for their time with us this morning, during what is a busy period. We appreciate your interest and your ownership. If you have any questions that weren't addressed in the call, feel free to reach out and we'll get them answered for you. Thank you again for everything and enjoy the rest of your day. Thanks, all.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does include today's program and you may all disconnect. Everyone have a great day.